Operator: Good afternoon, ladies and gentlemen. Thank you for standing by. Welcome to LivePerson's Second Quarter 2024 Earnings Conference Call. My name is Irene and I will be your conference operator today. At this time, all participants are in a listen-only mode. After the prepared remarks, the management team from LivePerson will conduct a question-and-answer session and conference participants will be given instructions at that time. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn the conference call over to Mr. Jon Perachio, Senior Director of Investor Relations. Please go ahead.
Jon Perachio: Thank you, Irene. Joining me in today's call is John Sabino, CEO, and John Collins, CFO and COO. Please note that during today's call, we will make forward-looking statements, which are predictions, projections, and other statements about future results. These statements are based on our current expectations and assumptions as of today, July 31, 2024, and are subject to risks and uncertainties. Actual results may differ materially due to various factors, including those described in today's earnings press release and in the comments made during this conference call, as well as in 10-Ks, 10-Qs, and other reports we file with the SEC. We assume no obligation to update any four looking statements. Also during this call, we'll discuss certain non-GAAP financial measures. The reconciliation of GAAP to non-GAAP financial measures is included in today's earnings press release. Both the press release and the supplemental slides, which include highlights for the quarter, are available on the investor relations section of LivePerson's website at ir.liveperson.com. With that, I'll turn the call over to LivePerson's CEO, John Sabino.
John Sabino: Thank you so much, Jon. Thank you all for joining us today. Before providing a detailed update on our business and strategy, let me briefly touch on where we are today and what we have delivered since our last earnings call in May. On our last call, we reiterated that addressing our 2026 convertible notes remained a key priority. We have since announced our deal with Lynrock Lake, which closed in early June. This transaction has significantly improved our capital structure and has given our customers and partners confidence that LivePerson will be a long-term strategic partner. Moving on to conversations with customers, I have now met with over 200, doubling from the time of our last call. And I continue to hear that they value our product and want to partner with us in their digital transformation. I've also heard from select groups that we have an opportunity to serve them better, validating our focus on customer success, which has contributed to improve with added rigor and process installed over the past two quarters. Customers have also expressed their excitement about our strategic partnership with Avaya, which I am pleased to report is on track with addressable opportunities building in the pipeline. More importantly, customers are excited about our pivot to embrace voice in omni-channel, which aligns with our strategy to improve our go-to-market motion with strategic voice partners and other strategic partnerships. Supporting our activity with customers and partnerships, we've also been able to roll out new pricing and packaging as GA well ahead of schedule, which I will discuss in greater detail later on the call. Finally, I want to acknowledge Sandy Hogan joining LivePerson as our new Chief Revenue Officer, who started in early June. With decades of go-to-market experience and a proven track record of driving significant growth, I cannot wait to see what she will bring to LivePerson. With our go-to-market leadership team in place, our commercial organization is in position to execute on expansion and retention, as well as driving new business. Now that I've shared that summary of our progress since our last call, let me update you briefly on our second quarter results. Revenue in the second quarter was $79.9 million at the high end of our guidance range, mainly driven by successful efforts to retain at-risk customers during the quarter. And adjusted EBITDA was $8.2 million above the high end of our guidance range, largely as a result of the actions the company has taken to reduce costs. John Collins will provide more detail on financial results in his section, but I wanted to reiterate that we achieved what we set out to do in second quarter and that these results and the maintenance of our full year guidance represents a second consecutive quarter of execution on our strategy. Now, I would like to provide more detail on our progress and the three key focus areas of our transformation strategy. First is our capital structure. As discussed earlier, in the second quarter, we completed the first step in addressing our 2026 notes, which increased confidence with our customers who are renewing and expanding their business with us. Prior to this transaction, some of our largest customers raised concerns about LivePerson viability with a long-term partner. But since the transaction was announced, customers have expressed confidence in strategically partnering with us, which has enabled key renewals. These included two of the largest telecommunications companies in the world, one renewal being in excess of eight figures and one of the top investment banks in the world. We have a long way to go to systemically address our renewal challenges, but these renewals are a step in the right direction. Second, let me update you on our go-to-market motion. As I've already discussed, the announcement of the transaction back in May has removed a significant hurdle in our go-to-market motion. In addition, the operational improvements put in place with customer success are increasingly providing more value. The rigorous structure and forecasting has allowed us to be more strategic in the application of adoption frameworks and maturity models for our enterprise customers. These frameworks are purpose-built to deliver the highest return on investment by driving increased usage and adoption of the broader capabilities of our platform, including the ability to orchestrate several LLMs across BUs, use cases, and vendors. Highlighted earlier, our new pricing and packaging was launched GA on June 18, months ahead of schedule. The new pricing and packaging is extremely simple and streamlined with good, better, and best packages that showcase our innovation. Services have been bundled into the price, along with platform capabilities such as analytics and integration. Unlike most other vendors, LivePerson now only has two pricing meters with almost no add-on costs. So contracts are easy to scope with no surprises. It also allows brands to bring their own LLMs and third-party AI without incurring additional costs. In part, thanks to this new pricing model, alongside our strong product capabilities, we were able to win back and expand a major healthcare provider. This customer found that our straightforward, all-inclusive pricing structure provided significant value and faster scaling. We expect this momentum to continue in future quarters. I would now like to update you on our partner strategy. We have had dozens of enterprise brands leaning into our vision for a unified, omni-channel workspace that integrates LivePerson with best-in-class voice solutions like Avaya. But by unifying the agent workspace, analytics, and AI within the conversational cloud, LivePerson becomes the single pane of glass for brands as they navigate their voice-to-digital transformation. We anticipate a GA release of these capabilities by the end of Q3 and a rapid expansion of functionality and partnerships with more integrated CCAS vendors to come in the following quarters. This brings me to our third area of focus, extending our advantage in product integration and orchestration. Today, we have over 70 customers paying for generative AI, including 23 of our top 100 customers. The number of customers who have adopted generative AI has grown 20% since last quarter. Additionally, in the last quarter, we have powered over 6 million conversations with our generative AI capabilities, which is up over 165% quarter over quarter. Unlike legacy chatbot systems, which struggle with complex conversations and they often sound robotic, LivePerson's generative AI bots engage in a sophisticated, personalized interaction that drives business outcomes and helps agents provide better customer service. Our customers using LivePerson's generative AI capabilities report seeing higher customer satisfaction and improved operational efficiency. In the last quarter, the adoption of LivePerson's generative AI capabilities has grown significantly, and the highlights include a leading North American telecommunications provider deploying our AI copilot to now over 7,000 agents, a major European telecommunications provider reducing average response times by seven minutes and improving their net promoter score by 5 points. Another is a large retailer utilizing LivePerson's AI to cut operational costs by 60% and a top 10 U.S. credit use lowering their average response times by 20%. These results show that generative AI is getting deployed throughout our customer base globally because it's driving real world results. We also continue our track record of product innovation at our SPARC conference in May. During this event, we introduced several new AI innovations designed to deliver better customer experiences and increased operational efficiencies. Highlights from the event included bringing your own LLM, which allows brands to integrate their own large language models from Google, Amazon, and OpenAI and others into LivePerson. Copilot Rewrite, which refines agent messages for clarity and professionalism, helping agents achieve exceptional customer experience. We have generative AI routing agents that accurately understand customer needs and efficiently routes them to the appropriate resource, whether that be a bot or a human agent. And we've created data collection agents, which effectively gather information from customers making the data collection process more efficient and accurate. The innovations launched at SPARC will help our customers remain at the forefront of generative AI in customer care. Over the next several quarters, the innovation coming from LivePerson will continue our focus on building more AI agents, improving AI Copilot, and integrating voice into the LivePerson agent workspace. Before handing this call to John Collins, I want to reiterate that we are continuing to execute a multi-quarter turnaround that will take time to see the long-term results. I want to thank the LivePerson team for their strong commitment and the rapid execution on the transformation strategy that we've laid out in February. We continue to deliver the expectations we set by improving our capital structure and continue to make strides and go to market by adding new leadership, launching new pricing and packaging, and advancing our partnerships with Avaya and others. We have also continued to increase our strengths in our product with exciting solutions to drive incremental value as we work with our customers to deliver their digital-first future. I look forward to continuing to update you on our progress in the quarters to come. Now, let me pass this call to our CFO and COO, John Collins. John?
John Collins: Thanks, John. I'll begin with a brief operational update followed by a discussion of our financial performance and guidance. As previously announced, following the May earnings call, we closed the transaction with our largest node holder, Lynrock Lake. That significantly improved our capital structure by enabling us to capture some of the discounted current market price of our 2026 convertible nodes, extend debt maturity schedules, and raise new capital to facilitate further deleveraging. With a stronger balance sheet, we are better positioned to meet the needs of our customers and partners for the long run and to accelerate value creation for shareholders. To this end, as John alluded to, the transaction with Lynrock Lake reinforced customer confidence to renew and expand business with us in the second quarter. I would also like to provide a brief update on Wild Health. In the second quarter, we divested Wild Health, consistent with the expectations we set previously. Because the business was operating at a significant loss, the timing of this divestiture was accretive to earnings, saving an estimated $3 to $5 million in full-year expenses, which we previously accounted for in guidance. Note that LivePerson did not retain any interest in or obligations to Wild Health, which materially limits the potential for liabilities tied to future patient claims. In terms of deals and significant customer wins in the second quarter, we continued to build momentum. We signed over 37 deals, including 9 new logos and 28 expansions and renewals. While the number of deals was down 8% from the first quarter, the value of these deals was up 58% sequentially. Expansions and renewals included a seven-figure upsell with a global financial services company and an upsell with a global audio streaming company. New logo wins included a large New Zealand-based telecommunications company and a large U.S. mortgage company. As for second quarter financial results, total revenue was $79.9 million at the high end of our guidance range, driven primarily by lower-than-expected customer churn. Wild Health contributed $1.1 million to total revenue in the second quarter. With the divestiture of Wild Health, we do not expect any revenue or cost impact going forward, which was reflected in our prior guidance. Adjusted EBITDA for the second quarter was above our guidance range at $8.2 million, driven primarily by a one-time benefit from a vendor settlement and higher-than-expected revenue. Revenue from B2B hosted services was $67.3 million, down 17% year-over-year. B2B core recurring revenue was $74 million, down 18% year-over-year, driven by customer cancellations and downsells that we discussed in the first quarter. Professional services revenue was $12.6 million, down 23% year-over-year, driven primarily by the same factors impacting the revenue from hosted services. From a geographic perspective, U.S. revenue was $57.3 million and international revenue was $22.6 million, or 72% and 28% of total revenue, respectively. Average revenue per customer was $630,000, up 10%, driven in part by expansions with our largest customers and also by customer return. RPO declined 13% sequentially to $283 million, driven, again, by the same factors underlying the decline in revenue. Net revenue retention was 83% in the second quarter, compared to 89% in the first quarter. As previously discussed, NRR is a lagging indicator of progress on our strategy due to it being a function of in-period revenue. Given the size and timing cancellations in the first half, we continue to expect revenue to decline sequentially through this year to the fourth quarter, as the full-year impact of this customer turn is realized. In contrast to NRR, we view new annual recurring revenue that is the net of annualized bookings and annualized turn, as a leading indicator of progress on our strategy. While still a negative value in the second quarter, new ARR improved from the first quarter to the second quarter and we continue to expect further improvement in the third quarter. Finally, in terms of cash, we ended the second quarter with $146 million of cash on the balance sheet, inclusive of the proceeds net of transaction costs from the previously announced transaction with Lynrock Lake. In terms of guidance for the third quarter, we expect revenue to be in the range of $69 million to $73 million. This is a sequential decline of approximately $9 million at the midpoint, which as discussed, is primarily driven by customer cancellations and downsells in the first half and to a lesser extent, the divestiture of wild health. B2B core recurring revenue is expected to be approximately 92% of total revenue in the third quarter. As for adjusted EBITDA in the third quarter, we expect a range of $0 to $5 million. The sequential step-down in adjusted EBITDA is driven almost entirely by the sequential step-down in revenue. For the full year, we are maintaining a revenue guidance range of $300 million to $315 million. As for B2B core recurring revenue, consistent with the third quarter, we expect it to be approximately 92% of total revenue for the full year. Finally, we are also maintaining our adjusted EBITDA guidance at a range of $15 million to $26 million. And we continue to expect the B2B business to be free cash flow positive for the full year. Before taking questions, I'd like to briefly summarize the progress we've made on our strategy during the prior two quarters. We've significantly reduced our cost structure and completed the wind-down or divestiture of all non-core business lines, focusing the business and bringing it one step closer to sustainable generation of cash flow. We've onboarded a CCO and a CRO who are accelerating the rebuild of our commercial operations. We've closed a transaction with our largest new holder that reduced our debt, extended maturities, and raised capital to facilitate further deleveraging, giving customers the confidence to continue renewing and expanding business with us. Collectively, this progress, coupled with ongoing investment into voice integrations and related partners, has strengthened LivePerson's foundation. We expect continued execution of our strategy to reinforce confidence in LivePerson as a trusted strategic partner for the voice to digital transformation of enterprise customer service. And with that, I'll pass the call back to the operator for questions.
Operator: Thank you. We will now be conducting a question-and-answer session. [Operator Instructions] The first question we have is Jeff Van Rhee of Craig Hallam. Please go ahead.
Jeff Van Rhee: Hi, guys. A couple for me. So just maybe if you start and either of the Johns, I guess, take your pick, but on the net new ARR, just expand a bit more on bookings and churn relative to expectations in the quarter. I heard them mentioned in passing, but I'm trying to deconstruct there. Did churn meet expectations? Was churn a bit higher than expectations? I think I heard you say the bookings were ahead, but just retouch on that for a second, if you would.
John Collins: Yeah, Jeff, I'll start here. Broadly speaking, we were a little better on churn than we previously expected. And on the new deals, while we were up 58% sequentially, that was a little lower than what we had previously expected. All in all, though, new ARR improving considerably from the first quarter to the second.
Jeff Van Rhee: And on the new deal front, obviously there's some changes going on. New CRO, you're obviously pushing harder into partners, but with respect to the direct sales motion and win rates you're seeing, just talk a bit about the observation over the last six months and how that's trending.
John Sabino: I'll start, John, and if you want to add more detail, please feel free. So when it comes to new business, part of the reason we brought in Sandy Hogan is really to improve that partner motion and to rebuild our ability to acquire new logos. And it's also a structural improvement with pricing and packaging so that we can be more competitive. So the win rate has actually improved quarter-over-quarter. We still have some ways to go, and it's going to take a few quarters for Sandy to fully ramp it up. But the initial indications is that quicker rollout of pricing and packaging, engaging with our customers with a stronger CF motion, and some of the new capabilities that we're releasing on the A-front are attractive to new logos, and we're looking to see further improvement there. And the win rate has been improving quarter-over-quarter.
Jeff Van Rhee: That's helpful. And on the churn, you said it was a bit better than expected. I know you're rolling out new pricing and packaging, but it seems I think that just hit. So just curious what you would attribute the improved churn to.
John Sabino: The improvement. John, I'll jump on that one too. Again, feel free to add some extra commentary here. So this goes back to the initial conversation that we had with Jeff with having to improve on exactly how we engage with customers, getting additional value out of the platform. We spoke about being able to use more of what a LivePerson offers versus just isolated use cases or messaging in and unto itself. So all of these motions now have had a few months to move forward with our CS organization. We spoke about the frameworks and conversational value paths that we use with customers to do that. So the improvements that we're seeing in retention really is being driven by some of the additional value that we're seeing being driven by our AI capabilities, opening up more of our portfolio to customers and the activities that Kevin Meeks [ph] is driving with our CS organization. And of course, the transaction with Lynrock Lake is also playing into this as well. I think it removed some of the concern customers may have had in strategically partnering with us longer term.
Operator: Thank you. With that, we have reached the end of the call today. And thank you for joining us.